Operator: Good day, and thank you for standing by. Welcome to the Second Quarter Fiscal Year 2026 Cavco Industries, Inc. Earnings Call Webcast. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Mark Fusler, Corporate Controller and Investor Relations.
Mark Fusler: Good day, and thank you for joining us for Cavco Industries Second Quarter Fiscal Year 2026 Earnings Conference Call. During this call, you'll be hearing from Bill Boor, President and Chief Executive Officer; Allison Aden, Executive Vice President and Chief Financial Officer; and Paul Bigbee, Chief Accounting Officer. Before we begin, we'd like to remind you that the comments made during this conference call by management may contain forward-looking statements. Forward-looking statements include statements about our expected future business and financial performance and are not promises or guarantees of future performance. They are expectations or assumptions about Cavco's financial and operational performance, revenues, earnings per share, cash flow or use, cost savings, operational efficiencies, current or future volatility in the credit markets or future market conditions. All forward-looking statements involve risks and uncertainties, which could affect Cavco's actual results and could cause its actual results to differ materially from those expressed in any forward-looking statements made by or on behalf of Cavco. For a detailed discussion of material risks and important factors that could affect our actual results, please refer to those contained in our filings with the SEC, which are also available on our Investor Relations website and at sec.gov. This conference call also contains time-sensitive information that is accurate only as of the date of this live broadcast, Friday, October 31, 2025. Cavco undertakes no obligation to revise or update any forward-looking statements, whether written or oral, to reflect actual events or circumstances after the date of this conference call, except as required by law. Now I'd like to turn the call over to Bill Boor, President and Chief Executive Officer. Bill?
William Boor: Thanks, Mark. Welcome, and thank you for joining us today to review our second quarter results for fiscal 2026. We saw focused execution across our operations that led to the strong overall results we're reviewing today. Revenue was up 9.7% year-over-year and flat sequentially. Our operating profit was up about 27% over last year's Q2 and up 3% over last quarter. All operations contributed to these results, as I'll touch on. I want to start by discussing the general market as there were some notable regional differences. Using published industry data, year-to-date national shipments are up over 3% through August. In many regions, mainly across the Northern U.S., year-to-date shipments are up double digits. Recent months continued to show strong year-over-year shipment comparisons in those states and regions. In contrast, last quarter, we spoke about the Southeast, showing some volume risk. And clearly, the region did slow in the quarter. Shipments in the area bounded by the Carolinas and Tennessee down to Louisiana and East are down about 4% year-to-date and down 10% in July and August compared to last year. The point being industry shipments are currently showing significant regional differences. Shifting to our operations. In recent quarters, we have pushed production across our system, knowing we can adjust back if needed. And we did need to slow our Southeast production in Q2 and the plants reacted well. That reduction was accomplished through a combination of extended downtime during the 4th of July holiday and production rate reductions where plant backlogs were low. Across that Southeast region, we're operating our plants just above last year's pace, while all other regions maintained elevated production rates from Q1 to Q2 and at a significantly higher pace than last year. Pointing out these regional differences is not intended to be alarmist in any way. Sitting here at the end of October, we've seen backlogs in our plants that serve the Southeast stabilize and edge up over the last month. There's nothing systemic we can point to that explains the regional shifts, and we'll keep monitoring and adjusting production to manage appropriate backlogs. On the subject of backlogs overall, we remained at about 5 to 7 weeks. Unit backlog was up slightly quarter-to-quarter. And as explained, that was the result of selectively pulling back on production. Overall, wholesale orders were down just slightly. Turning to average selling price, and I want to really make it clear here that my comments are sequential, not year-over-year. Our consolidated average selling price was up this quarter. When we separate the various drivers, wholesale prices were essentially flat. Pricing did hold up across the board, including in the Southeast, with what I consider to be basically insignificant variation by geography. The significant upward movement in reported ASP was primarily the result of a higher percentage of recognized units from retail and to a lesser degree, a mix shift toward multi-section homes. We've seen a few quarters where multi-section homes increase relative to single sections after a string of quarters where it went the other way. We aren't reading too much into that variation at this point. I spent a lot of time noting the relative strength across the Northern U.S. in comparison to the Southeast because the divergence is noteworthy during a period with continuing market uncertainty. We're making no prediction about forward demand in the Southeast. At the moment, the market seems in balance with manufacturer production. And frankly, there are scenarios that it strengthens and others that it weakens from here. We're comfortable operating in this environment because we've demonstrated the ability to closely monitor and adjust as we did this quarter. I don't want to miss the opportunity to highlight the continuing strong performance in financial services. In the first 2 quarters, revenue is up about 5%. However, operating profit is up $14 million from a loss last year to an $8 million profit this year. This has been driven by our insurance business. Weather has played a part, but the majority of the increased profitability has resulted from aggressive actions taken to pair unprofitable policies and changes that were made to underwriting and claims management. I want to really acknowledge the insurance operation for the great job they've done and it's clearly showing in our results. As previously announced, after Q2 ended, we were able to close the American Homestar acquisition. After almost a month together, integration is moving quickly and very well, thanks to the people from both companies who took advantage of the time between the announcement and closing to plan all aspects of integration. The combined company is off to a great start. The commitment to the smooth transition by the American Homestar leadership has been very apparent, and it's made all the difference. And finally, while I have the floor, I can't help touch on capital allocation. Allison will cover it in more detail. We continued investing in our existing plants. We closed on the American Homestar acquisition immediately after the quarter using cash on hand, and we were able to repurchase $36 million of our common shares. All of this, of course, was enabled by our strong balance sheet and cash generation, and this balanced capital allocation approach will continue going forward. Now I'll turn it over to Allison to give more details on the financial results.
Allison Aden: Thank you, Bill. Net revenue for the second fiscal quarter of 2026 was $556.5 million, up $49 million or 9.7% from $507.5 million in the prior year quarter. Sequentially, net revenues decreased $0.3 million, driven by a decrease in homes sold, partially offset by an increase in average revenue per home sold. Within the factory-built housing segment, net revenue was $535.1 million, up $48.8 million or 10% from $486.3 million in the prior year quarter. The increase was primarily due to a 5.4% increase in homes sold and a 4.4% increase in average revenue per home sold. The increase in average revenue per home sold was primarily due to a higher proportion of homes sold through our company-owned stores with more multi wides in the mix and product pricing increases. Factory utilization in the second fiscal quarter was approximately 75% versus 70% in the prior year period. Financial Services segment net revenue was $21.4 million, up $0.3 million or 1.4% from $21.1 million in the prior year quarter and sequentially up $0.2 million. These increases were due to higher premium insurance rates, partially offset by fewer loan sales and fewer insurance policies. In the second fiscal quarter, consolidated gross profit as a percentage of revenue was 24.2%, up 130 basis points from 22.9% in the same period last year. In the factory-built housing segment, gross profit was 22.9% in the second fiscal quarter of 2026, flat with the prior year quarter. Financial Services gross profit as a percentage of revenue increased to 55.6% in the second quarter, up from 21.8% in the prior year quarter. This increase is primarily due to fewer claims from storms in the insurance business. Selling, general and administrative expenses in the second quarter was $72.2 million or 13% of net revenue compared to $67 million or 13.2% of net revenue during the same quarter last year. The increase in these expenses was primarily due to higher incentive compensation and deal costs from the recently announced American Homestar acquisition. Interest income for the second quarter was $5 million, down from $5.7 million in the prior year quarter, primarily driven due to lower interest rates on our invested cash balance. Pretax profit for the second quarter was $67.3 million, up $12.3 million or 22.4% from $55 million in the prior year period. Effective income tax rate was 22.1% for the second fiscal quarter compared to 20.3% in the same period in the prior year. This increase was driven primarily by a reduction in expected tax credits, partially offset by [ benefits ] from stock-based compensation. Net income was $52.4 million compared to income of $43.8 million in the same quarter of the prior year. And diluted earnings per share this quarter was $6.55 per share versus $5.28 per share in last year's second quarter. Before we discuss the balance sheet, I'd like to take a minute to talk further about capital allocation. Shortly after the close of the second quarter, we completed the American Homestar acquisition. During the second quarter, we also repurchased just over $36 million of common shares under our Board authorized share repurchase program, and we have approximately $142 million under authorization for future repurchases remaining. Our capital deployment will continue to align with our strategic priorities, which include enhancing our plant facilities, pursuing additional acquisitions, assessing opportunities within our lending operation and continuing to buy back shares. Now I'll turn it over to Paul to discuss the balance sheet.
Paul Bigbee: Thank you, Allison. In the quarter, we had an increase in cash and restricted cash of $31.6 million, bringing our balance to $400 million. Cash provided by operating activities was $78.5 million. Cash used in investing activities was $12.4 million and cash used in financing activities was $34.5 million, primarily due to share repurchases. When we compare the September 27, 2025 balance sheet to March 29, 2025, the increase in accounts receivable is related to organic growth in the factory-built housing segment with unit shipments up 2% in the period over the prior year-end. Inventories increased from higher finished goods at company-owned retail stores. The decrease in prepaid expenses and other current assets is a result of lower prepaid insurance and prepaid taxes. Property, plant and equipment increased from continued investments in our existing manufacturing facilities. Deferred income tax changed from an asset to a liability primarily due to acceleration of certain expenses that were previously capitalized and bonus depreciation, both due to changes in new tax law. Accrued expenses and other current liabilities increased from higher volume rebates and warranty accruals on increased sales. And finally, treasury stock increased due to stock buybacks year-to-date. As a reminder, we closed on the American Homestar acquisition after quarter end. Therefore, the cash balance does not reflect a reduction for the purchase price, which is $190 million before certain customary adjustments and funded with cash on hand. Now with that, I'll turn it back to Bill.
William Boor: Okay. Josh, can we open it up for questions?
Operator: [Operator Instructions] Our first question comes from Daniel Moore with CJS Securities.
Dan Moore: Let me start with Bill, I'm trying to just really good color, obviously, regionally and what you're seeing. Backlog held up nicely despite 5% growth in shipments. Maybe just talk a little bit further about how orders are trending thus far into fiscal Q3 and where you expect to be able to maintain current levels of production as we enter seasonally slower periods perhaps in some of the northern states ahead of next spring selling season?
William Boor: Yes, I know I threw a lot at you with the regional stuff. And it's interesting because a lot of times, people ask about the regions, and I kind of just weave it off because I don't see any significant differences. But it's kind of -- might have beat it to death in the comments. It's a pretty marked difference between that isolated Southeastern area. And part of that message though really should be also how strong it is elsewhere. I mean we really do have double-digit growth in a big part of the U.S. geography right now. And the question about orders, our wholesale orders were down just a little bit in the quarter. That's probably not unusual. The summer can be that way. And as far as our view going forward, I won't speculate too much, but I'd say this is a quarter that's interesting. October can be pretty strong and then you kind of get into the holidays. So it comes in strong and tends to slow down through the holidays. Overall, seasonality, while we can measure it over long periods of time, a lot of years, it's really more about the general strength in the market that drives the direction of orders quarter-to-quarter. I'm not sure I said that well, but the seasonality can be overshadowed just by market strength and market weakness shifts. Right now, it still does feel like a balanced market in many ways. I said earlier, even in that Southeast that I'm pointing to a lot, I feel like we're in balance. We had to pull back a little bit in the summer on the shipments that we had in our plants serving that area. But as I indicated, given a little bit of an update through the early part of this quarter, we've seen our backlog stabilize and grow a little bit there. So we're kind of in a nice balance. And like I said, I don't know how to speculate and call whether it's going to strengthen from here, which is very possible or whether we continue to see some cracks there. So it will be an interesting quarter, I guess. But right now, we're feeling pretty comfortable with the nice balanced market. Does that address...
Dan Moore: It does. If I heard correctly, your production rates staying relatively steady. You ticked them down a little bit in the Southeast, but kind of holding from here for the interim and waiting to see. Is that the best way to describe it?
William Boor: Yes, I was probably focused in that comment about the Southeast that we're feeling in balance with where we've adjusted to. The other parts of the country, we have plants that are looking to try to bring on a little production right now. So it's really a very differential situation in operations. And I feel like we've been at a high level, the last several quarters have felt like this. It hasn't been blowing and going, but it's been pretty healthy, and you got to keep your eye on the ball because at a given plant, it can move on you one way or the other. So not intending to be evasive, it's more that we're just seeing all conditions across the country. And outside of the Southeast, we have plants that are still edging it up. We did have a number of our plants outside of the Southeast that from quarter 1 to quarter 2 increased production.
Dan Moore: Very helpful. And Texas is obviously a big market for MH and bigger now with American Homestar for you. How would you describe that market? We've seen numbers all over the board in terms of the HUD code shipments. So what are you seeing in that market?
William Boor: Yes. Well, you guys can see the HUD code stuff. I'm looking here year-to-date, it's almost flat, right, year-to-date cumulatively. And in the early summer, it was down just a little bit in Texas. But I'll tell you what we're feeling. Our retail is primarily based in or centered in Texas. That's starting to not be the case as we've expanded, but it's still the core of our retail business. And we had a really, really good quarter in retail. So the market is there. Our retail guys are doing a great job of going and getting it, which pulls through our production. So we're feeling pretty good about Texas in general, I'd say, right now.
Dan Moore: Really helpful. Factory-built gross margins ticked up slightly on essentially flat revenue sequentially. Just talk a little bit about your expectations for the next quarter or 2. Do we see a little more input cost pressure, tariffs, other running through COGS or these the levels that we just saw this quarter reasonably sustainable, Allison?
William Boor: Yes. I'll give the tough questions to Allison.
Allison Aden: No, thank you for the question. And I think when we think about the margins, it's always hard to project forward, but let's touch on a couple of elements that we typically do look to. The strength of our business model, particularly with the backdrop of the tariffs, I think really shined through of how we focus very much on keeping this much variable cost up and fixed costs low. As far as margins in total, we think about the ASP, and I think we've done a good job, Bill has done a good job of kind of addressing where we are and perhaps different alternatives of where we can go. So let's talk about the cost component and tariffs because I think that's probably a focus of what's ahead and what investors want to know. We estimate that the impact of tariffs in Q2 was approximately $2 million of additional expenses that hit our cost of goods. And if you remember during our Q1 press release, we shared an estimate that the projected overall impact could reach, and this is over the course of the out quarters, $2 million to $5.5 million a quarter if the total tariffs that were being discussed at that time were fully implemented. So post our Q1 last quarter's earnings release, the Canadian lumber countervailing duties have been increased from their long-term 14.5% to 35%, and that actually happened at the very end of July of this year. And then subsequent to that, the duty has also been announced as an increase of 10% tariff placed additionally on top of that. These tariffs obviously are fully implemented, and we've seen the back and forth that's been going on for the last several months. So we stay close to it. Obviously, these would have a meaningful impact on the cost of our homes by increasing the price of lumber for framing, for floors, for roof, not unlike other homebuilders. So we continue to stay focused on it, continue to really lean into our -- the efficiencies and effectiveness of being a manufactured builder of affordable housing providers. And we -- the obvious focus is our ability to pass these costs through pricing will be very dependent upon local market conditions, as we've consistently said. A positive is the decision that came about in recent weeks to really kind of kick out the China tariff increase [ out a year ] that will help us reduce our estimate probably to the lower end of the range that we provided. It will clearly avoid some increases that we were anticipating to the electrical and plumbing that we purchased from China through intermediaries. So I went a little long on that, just to kind of instead of piecemeal to you all, just kind of keep it all inclusive. So all of those are what we're factoring in. Obviously, as we've talked about, the largest component that we use are the commodities of lumber and OSB as all builders. We all have access to that, as you can see in the spot market. And basically, the rates and levels that you see when you look at the commodity markets, in general, we can think about those factoring through our cost of goods at about 60 to 90 days. Does that help a bit?
Dan Moore: It does. No, that is great color. One more and I'll jump back in queue...
William Boor: I'll just add a couple of comments, Dan. When you're looking at Q2 specifically, you might remember that in Q1, we saw product -- like product price increases. So we had a good beginning to the quarter coming out of Q1 with prices up. And then on the cost side, a lot of these tariff risks are concerning, and we're really keeping our eye on it. But in the quarter on the cost side, we've actually continued to see lumber really at a pretty low cost. It almost defies logic when these Canadian softwood lumber tariffs have been -- tariffs and duty increases have been put in place. We're still seeing lumber at a pretty low level right now. So that really contributed to the nice gross margin this quarter and a lot of what we're going to be focused on going forward is some of these risks.
Dan Moore: Very good. No, that's super helpful. Last one, turning attention to American Homestar. I guess, first off, the numbers that you gave back when you announced the deal in July, how are they trending relative to those -- I think it was $194 million revenue, $18 million EBITDA, any change there, good or bad? And second, how do we think about potential impact of maybe acquisition accounting? That's been something we've discussed in the past with some of the others for the first sort of quarter or 2 out of the box.
William Boor: Yes, good questions. I mean we've had them for a month, so I'm not sure I have a huge update on kind of trends, but I do just -- I mean, they're going to fold in. It's 2 more plants in a system that now has 33 plants. So that's pretty much pro rata. They'll fall right in line there. They are heavier than our concentration before the deal on the retail side. So we'll get considerable impact from the retail side. But from a business perspective, they're folding right in as part of the business, not better or worse than the rest of the operation. I do think -- and I know we didn't put it out there with synergies, but I do think my comments about integration that, over time, we'll kind of -- pretty likely we'll kind of tell you guys how integration is going, and I think we're going to be able to add some meaningful value to the deal on top of them. So it's not just a complete bolt-on. It's a bolt-on that I think will be lifted over the next several quarters. I appreciate the question on the purchase accounting. I am going to let someone else answer it because they'll do it better, but it's an important one, and we've looked at it.
Allison Aden: From the acquisition accounting perspective, we think about the potential impact on the consolidated gross margin level, it's probably going to be pretty small. And the reason for that is if we look at this particular acquisition, there is really a high markability to their type of products. So we'll be able to get to market faster and be more successful out of the gate. Also in addition to that, their inventory levels are extremely rational. So if we compare and contrast this to, say, the previous acquisitions we've done, where we have had an impact to the consolidated margin, we believe that in this particular acquisition, that will really be very low and pretty noneventful.
Operator: Our next question comes from Greg Palm with Craig-Hallum.
Greg Palm: I wanted to maybe go back to the market or the industry growth or, I guess, lack thereof. I'm pretty sure that the industry reported or will report, I guess, declines on a year-over-year basis in units for the recent quarter. But you've continued to outgrow the industry by a pretty meaningful amount sort of quarter in, quarter out for the last year plus. So maybe you can just better sort of highlight what are you doing right? What are you doing better? What's allowing you to outgrow the industry to that sort of magnitude?
William Boor: Yes. I appreciate the recognition. I know that there is volatility in market shares from quarter-to-quarter. So I'm always a little bit hesitant to declare victory. But we've talked about things over time that we've done that I do think are really settling in. A tremendous amount of work over, frankly, a couple of years where we initially really moved forward in digital marketing. And that really didn't completely take hold until we followed that with the rebranding that we did earlier this calendar year. And the rebranding, again, coupled with digital marketing, I think our ability to generate good leads, customers, consumers that are educated on our products has just stepped forward in a dramatic way from those changes. And we're probably at the beginning of really realizing that. I think that was a strategy that unfolded. It took literally a few years to get to where we are, but I think now it's time to make hay with that. We've also talked about structurally, we were certainly different than the other large players in the fact that you know what we always talk about, we treat this as a very local market. We put a lot of decision-making and accountability on our local operations. And we didn't have a national sales team until the last several years. And the work that's been done by that group to just bring better training and accountability to sales teams across our organization, I think, is starting to gain traction. And it also has improved our selling approach to communities and developers because a lot of those communities and developers, when they're larger organizations, they need to have contact at various levels in the organization. And frankly, we had a gap. And so I think we've closed that gap. I could go on and on. I think our product team has done a really good job of innovating product design. So all these things are focused at trying to not just stay with the market, but to try to gain a little share. And I certainly believe that that's impacting the results.
Greg Palm: Okay. Yes. That's helpful color. And then shifting to the mix in the quarter. You mentioned more homes from company-owned retail. Do you have that percent for the quarter and how that compares to both year ago periods as well as sequentially? And just curious what you're seeing thus far in October as it relates to the most recently completed quarter?
Mark Fusler: Yes, I can take that, Greg. So this quarter, we're about 22.9% that were sold through our retail channel. And that's up sequentially 4% from 18.9% this last quarter. And then year-over-year, the percentage was 21%. So we're up about 1.9% year-over-year.
Greg Palm: And any color on, at least from a high level, what you're seeing in October?
William Boor: I think continuation in general. I mean, I wouldn't say any discontinuity. I think retail has been -- as I mentioned earlier in answering one of Dan's questions, retail in Texas has really been outdoing themselves. They've been doing a great job. So I think they're continuing on that path. And the market in Texas is at least supportive enough for them to dramatically improve the results. I don't think some of the percentages as Mark just went through are really -- they're essentially same-store comparisons. The system -- while we have grown the system over time, I think if we went back and looked, we've been at kind of that 80 retail store level going back through that comparison period of last year. So it really is same store, same footprint improvement on the retail side. And yes, October, not trying to get too much into it, but October really hasn't been a discontinuity with that.
Greg Palm: Okay. And just remind us as it relates to Homestar, I mean, presumably that number maybe even goes up a little bit more, all else equal because of the proportion of homes that Homestar was going through company-owned stores, right?
William Boor: That's right. I mean they'll bring -- with the Homestar deal, we go from 31 to 33 plants, and we go from approximately 80 to 100 in round numbers on the store side. And I think I'm right on this. I think their degree of integration through their retail is around 60%. So 60% of their manufactured homes were going through their company-owned stores. So it will shift that -- it will have an upward effect on that percent integration.
Greg Palm: Okay. All right. Lastly, I'm going to throw a broad question at you because there's a whole bunch of different things going on, on the regulatory front, whether it's chassis removal or some of the financing stuff zoning. But just curious to get your high-level thoughts on the potential of some of that and obviously, the longer-term impact of some of that stuff goes through.
William Boor: Yes. One thing that happened is the HUD code got updated, and we feel really pretty positive about that. I mean the HUD code updates were due and far [ be clean ] for a long time. And I've talked in the past about the relationship between the industry and HUD. It's not like they regulate us, but it's a positive working relationship. So getting the HUD code update, I think, is a positive. Some of the good things that come out of that are duplexes up to, we call them 4 plexes, being able to build more than 1 family units. That's now part of it, eliminated a lot of the bureaucracy that goes with some of the more typical -- we used to have to get specific letters to allow some deviations from what was in the code, and they fixed a lot of those problems in the code so that the bureaucracy is down on letters. It also added some cost items that -- I think the industry generally supports an update to the electrical code that requires us to put more GFI and more tamper-resistant outlets and also, they kind of lowered the strength value rating on Southern Yellow Pine. I'm going into a lot of detail here. I guess it's not necessary, but those will add some marginal cost to the homes. I think they were legitimate and valid cost increases. More broadly in regulatory, we've talked before, chassis is getting a lot of notoriety and support both sides of the aisle. It's a matter of how do you attach those kind of things to a much larger bill that actually gets through the outlet. But I think we're pretty optimistic at an industry level that we will get the chassis removal that will open up a lot of innovation. We're trying to get HUD identified as the sole regulator so that we can avoid some of the dysfunction that happened with the Department of Energy over the last couple of years and also working some things to make sure that all forms of ownership for communities are given an equal opportunity to provide more homes. So there's a lot going on in D.C., those bigger items. I'm always kind of interested because I get involved in it to figure out, okay, how do you actually like -- you can have confidence one of these things is going to get done, but the actual route it takes is a lot of times uncertain. So we'll just have to stay tuned on the timing for some of that. But those changes like the HUD that was passed in the Senate as part of the Road Bill, so now it's in the house for consideration.
Operator: Our next question comes from Jay McCanless with Wedbush.
James McCanless: So I guess to take the price question a little bit further, you said American Homestar, 60% of their sales go through retail. So at least something more than that 23% going forward. I mean, have you guys even trying to plan out or get an idea internally of what that split could look like?
William Boor: Yes. I haven't done the algebra to be honest. [ It's shame ] to say that because it's a pretty straightforward question, but I haven't tried to figure out apples to apples if nothing changed, how much that would lift the percentage. But again, you could pretty much ratio it, Jay, that our plant ownership is going up. And I would -- just at this level to get an estimate, I would assume that their plants operate out typical to our average plant. So that's 2 divided by 30 increase on that side. And then you've got the 20 stores added to what was previously an 80-store retail system, so adding them with the 60%. So I apologize, I haven't done it, but I think we could probably get there pretty quick.
James McCanless: No, that's fine. I just -- I didn't know if that was a stat you all had ready for the call. I guess the second question is nice to hear a little more multi-section business this quarter. Is that something you think continues? Is it what you're seeing in the backlog right now for the plants?
William Boor: Yes. I commented that we're always watching that, and we're always interested to see if we're seeing trends. We saw quite a few quarters where it was a small movement in the other direction. So this is kind of swinging back a little bit. I'm not sure that we've really got a theory that it's a trend. We've got 2 -- I think, 2 quarters now that multi increase as a percentage. But I don't think we're ready to declare that a trend. It kind of seems a little bit more like normal variation right now.
James McCanless: Got it. And then one last question on pricing. Could you talk about -- you identified the Southeast region versus other regions, especially up north. I guess how big of a pricing delta is there? And are there some modular units running through those northern markets that may up the ASP a little bit as well?
William Boor: I'll have to come back to make sure I understand the second part. The pricing difference, I mean, what's been interesting is that when you look at the change in pricing because obviously, our plants across the country make different products. So it's not apples-to-apples on like a dollar amount of pricing. But the change has held up very strong. And what I was trying to point to is for all the discussion about the drop-off in volume in the Southeast, the Southeast did not give up any pricing. So pricing is holding across the country right now. You asked a question about the Northeast and modular that I'm not sure I captured.
James McCanless: No, I guess let me ask it a better way. If you think about a standard like-for-like single-section home that you sell in your northern markets versus your southern markets, I would assume that there's a price differential just from higher cost markets, et cetera. Is that something you guys have identified or talked about before?
William Boor: I think that's directionally correct. I mean some of them are modular and yes, even the coating can be different up there that can drive some costs up. So directionally, I think you're right. Are you kind of trying to figure out if that's a driver -- if the mix of non-Southeastern plants to Southeastern plants is a driver of the ASP increase?
James McCanless: Yes, that's exactly where I'm going for.
William Boor: I think directionally, it probably is. I don't know that I feel it's that significant, I guess, is what I'd say. I think it couldn't be argued that it's not an upward driver, but I'm not sure it really shows up in the calculations as a significant driver.
James McCanless: Okay. All right. And then the last question I had, just kind of talking about where are chattel rates now? What type of -- is there anything that -- I know, the Senate passed their version of the bill, I guess, we have to wait for the government to get back open for the House of reps to pass their side of it. But yes, if you could talk about where chattel rates are right now and what type of -- anything new or interesting on the mortgage side we need to be watching?
William Boor: On the -- just trying to touch the regulatory side of it, a lot of discussion. I've been one that's really pushed hard in D.C. for Congress directing the GSEs and to actually follow through on their duty to serve plans that involve doing some chattel lending programs. I wouldn't say that -- I feel like the discussion is right, but I'm not sure there's anything imminent on it, I guess, is my sense of that. So I'm not -- I wouldn't hold your breath that we're going to see something coming out of D.C., but we keep working on it. But then on your actual rates discussion, I think Mark has the information.
Mark Fusler: Yes. Yes. So on rates, they've been trickling down just a little bit these last 3 months or so, about down 70 basis points to about 8.5%, so mid-8% range now.
Operator: Our next question comes from Jesse Lederman with Zelman & Associates.
Jesse Lederman: Nice job on the quarter. Bill, I remember a couple of quarters ago, when you talked about on the financial services gross margin specifically, we had a long discussion about what you were trying to do there in terms of making sure the underwriting and what's actually being covered is more appropriate. So a nice job that that's come to fruition.
William Boor: Thanks, Jesse. Thanks for the good memory.
Jesse Lederman: High-level question for you, Bill, on kind of the political discourse. Of course, there's been a lot of public chatter between FHFA Director, Pulte and Trump with the larger public site-built homebuilders regarding affordability and increasing production and things of that nature. I was wondering if you've been involved in any conversations where you may be or they may be coming to you in terms of manufactured housing or factory-built housing generally being a solution for affordable housing in this country. Have you been able to kind of input yourself or manufactured housing into those conversations at all over the last couple of months?
William Boor: I think absolutely. And I'm not speaking just on behalf of myself, I'd more say that the industry and the industry association has done a really good job. And literally, you can compare and contrast from just a few years ago when manufactured housing was kind of on the outskirts of people's consciousness sometimes in D.C. and now we're part of every conversation. So I think tremendous ground has been taken as far as just highlighting what the industry can do. And both sides of the aisle, House and Senate, I've testified a couple of times up there, manufactured housing is front and center in people's minds. Now the challenge, I think, is that there are certain things the federal government can do that would really have a big impact. And we've talked about some things like the HUD code, definition of removable chassis, things like encouraging the GSEs, things like removing some of the dysfunctional bureaucracy that happens at times. And I think they're working on that. Where it's harder for them to impact directly are the things that are more a function at the state and local level. And that's where you really see the zoning challenges that limit the supply of what we do. So I'm not saying the federal government can't do anything, but their ability to directly impact that maybe a little bit less than we'd like it to be. And we really have to do the work at the state and local level. At the industry association, we've really been focused on that strategically trying to make sure that the industry association is working really closely with the states because I think that's where those battles need to be won. So I feel great about -- like I don't feel like we're missing any share of mind or being left out of any good discussion in D.C. about affordable housing at this point.
Jesse Lederman: Great. It's to hear. Next one I think is for Allison on the gross margin. I just maybe want to clarify some things. So it sounded like encouragingly, the tariff impact was at the low end of the $2 million to $5.5 million range in the fiscal second quarter. But given since you gave those numbers last quarter, you've had some incremental tariff increases on Canadian lumber. So it sounds like going forward, you'll be maybe toward the middle to higher end of that $2 million to $5.5 million per quarter range. That's kind of how it sounded. But then I think you made a comment about being encouraged by some other aspects of what you're seeing that it might be toward the lower end. So just kind of hoping for some clarification on the gross margins.
Allison Aden: Yes. Let me clear -- thank you for the opportunity to clarify. So the range that we gave last quarter was $2 million to $5.5 million. And that to us is the range that take -- if you remove any new Canadian lumber tariffs and antidumping increases, that range still holds. And if you think about that range, a good data point for us is that the China tariff increase kind of got pushed out. So that keeps us a little bit less to that range. Now take that range and add to it, what we're just now -- what we're recently learning about the increase to Canadian lumber from a tariff perspective and an antidumping. That's not within that $2 million to $5.5 million a quarter range. We're not quantifying that increase or the impact from Canadian lumber because there's still quite a few elements that are churning. And so as we -- as those unfold and those elements around, there has been an increase to 35% that was done at the very end of July, right, to the Canadian lumber. And then just recently, literally in October, discussions around another 10% increase. And if you take a step back and think about those recent articulations of what could be coming it's at this point, I feel like it's too early for us to put a box around that range. And so we'll continue to watch that. But those would be incremental costs to that $2 million to $5.5 million a quarter range. Does that help?
Jesse Lederman: Yes. That's very helpful, Allison. I appreciate that. A couple more. I think on last quarter's call, Bill, you talked about kind of the secondary market, you're maybe holding a few more loans on balance sheet, some fewer loan sales. Have you seen any shift since then in the secondary markets appetite for chattel loans?
William Boor: Yes, a lot of good discussion, and we're working pretty hard to generate some partnerships there to free up additional lending capacity because as we've said a lot of times, we are willing to hold these loans to a point, but we really prefer to have buyers of the loans we originate. So there's been a lot of discussions. It's not really an update that I could provide as far as anything that's broken at this point -- broken through. And I think -- I guess your question partly too, is appetite. I think there is an appetite out there for these loans. It's a hard process. A lot of the people that are talking to originators like us are folks managing insurance money, which is a really good fit, frankly, from a tenure perspective. And it's a complex process to get to an actual agreement with those folks. So they're showing a lot of interest, but the deals are a lot of work to get done.
Jesse Lederman: Okay. Two more for me. One on the Southeast, you mentioned that you didn't really give up any pricing in the Southeast, which obviously is encouraging. But on the other hand, how do you think through maintaining price, albeit at kind of lower order rates and shipment rates versus perhaps giving up a little bit of price and trying to stimulate some more demand or some more orders to increase capacity a bit?
William Boor: Yes. It's a good question. It gives me a chance to probably put a different point in here in the discussion about the Southeast because I knew when I was talking about it that much, I might heighten people's sensitivity to it, just trying to draw the contrast for the most part. The capacity utilization, at least in our system, and I think it was probably a more general statement for the industry, is not at a terrible level. I mean plants are operating. They're making money in the Southeast. And so every plant has kind of this ongoing decision every day about pricing strategy. And right now, I think it's not -- it's far from a Doomsday situation. So people feel like they're getting appropriate orders, and there hasn't been a motivation at this point to really aggressively compete on price. A lot of what our plants do, and this is a general statement is they go out and look at our product compared to other product that's in their local markets and make sure that they're priced accordingly. And that's I'm sure how the other competitors do it. And at this point, no one is at a state of concern about the direction of the Southeast where they've kind of said we're just going to drop price and try to win market share that way. So I like that. I think it means that there's stability even with -- even though it's lagging the rest of the country from a market demand perspective. And that allows us to kind of stay the course and adjust as we need to going forward.
Jesse Lederman: That's helpful. Yes. I guess it sounds like giving the great commentary on the Northeast that's particularly strong, I guess, has made it sound a little worse than it is in the Southeast on a relative basis.
William Boor: Yes. And just to clarify that real quick, Jesse. I mean it's -- the strength is across the entire north. You just go right across the entire northern part of the U.S. and pretty much where you're outside of that localized Southeast area that I talked about things are pretty strong.
Jesse Lederman: Great. And then last one on the CapEx, roughly $10 million this quarter, about $9 million last quarter. You noted there was investing in the plants. Can you maybe give a little color on the progress of those investments, what you're actually doing in the plants? Are those AI -- are those automation initiatives? Maybe just a little color on how that will come to fruition.
William Boor: Yes, absolutely. Yes, we're really happy with some of the project opportunities we've had in our system and even through the period a couple of years ago when we were dealing with really a slowdown, we were still consistently investing in these projects. And I would characterize them, we can look at a plant, and we've got some outstanding resources on the engineering side. Frankly, people that came to us through the Commodore transaction. This has been one of the value adds of that transaction many -- several years ago. We've got folks that -- I think when we announced that transaction, we talked about some manufacturing technologies where they were really able to do some things other companies hadn't figured out, like lasers, floor gantry systems for fastening that are very safe and efficient CDC machines. And so we've been seeing opportunities throughout our system to modernize using some of those technologies. I would characterize the investment in any one plant to probably be between $2 million to $5 million. And every one of those projects is feeling like a home run because they not only get us a little bit of additional throughput. And when you add several of those together, you've added a meaningful amount of capacity, but they also all seem to have very good safety and quality improvement aspects to them. So we're going to keep doing those. And that elevated -- I think the question was asked last quarter about whether that was a new level of sustaining capital. No, you're seeing investment capital in that number for sure.
Operator: [Operator Instructions] Our next question comes from Daniel Moore with CJS Securities.
Dan Moore: I wanted to just ask 1 or 2 more on drilling down, and we talked about a lot of -- some of the potential legislation, but I get a lot of questions recently about chassis specifically. So what's the average cost of a chassis? And roughly what percentage of your homes shipped come with the chassis today?
Mark Fusler: Yes. We estimate roughly about $1,500 per floor. So obviously, if you have multiple sections, you multiply that out.
William Boor: I think your point is, yes, we would basically recycle as much like they do in modular construction, right? You use a cart essentially to get the floor to the site and then you can bring that back.
Dan Moore: Yes. And whether -- what are HUD codes or chassied homes today that are as a percentage of your overall production roughly?
William Boor: HUD versus modular in our system?
Dan Moore: Yes, really just percentage with chassis that are left on site, if you know what I mean?
William Boor: Yes. Well, I can give you the break of HUD versus modular, and that's probably a pretty good rate for what you're asking. We're probably about 80% HUD code homes and 20% modular.
Dan Moore: Okay. And if it did pass, how would you think about that savings kind of dropping to margins versus maybe passing it on to the consumer? I know that's 1 or 2 steps down the road, but passing on the questions that I'm getting from investors.
William Boor: Yes, we'd probably find a middle ground. I think some of it would go to our bottom line and probably some would be passed through as a savings to the customer. I'm kind of -- I guess, my -- not hesitation, not hesitation, the reason why I hesitate at all is because I haven't really thought about chassis as much as a cost-driven thing as I think about it as an innovation-driven thing. But to your question on the hard numbers, I think there would be some middle ground where a good portion of that would drop to our bottom line.
Dan Moore: Yes. Makes sense. And then lastly, obviously, great work as detailed on financial services, contributing $5 million operating profit, I guess, $4 million average the last 2 quarters. Were there -- would you consider those to be above the mean in terms of profitability when you sort of average out the business and what expected claims are. This was a little bit of a softer quarter, but how do we think about sort of average profitability at this stage going forward?
William Boor: Yes. I'm going to take a shot and then you can tell me if I'm answering your question. We have benefited from lower-than-typical weather events and claims for sure. But as I said, and I know I'm not giving you specifics, the improvement -- we've dissected the improvement between how much we attribute to improved weather versus how much we attribute to the changes that we've made. And well over 50% of the improvement is due to the changes we've made. So I think we're at a new level of profitability in a typical weather environment. We've got a little bit of boost over the last 6 months from the weather being very friendly for us. Does that help?
Dan Moore: It is. Yes.
Operator: I would now like to turn the call back over to Bill Boor for any closing remarks.
William Boor: Yes. Just real quickly, I know we're coming up on the top of the hour. Executing and shifting markets is really what it's all about in this industry, and we continue to tell you all that from a market perspective, there's uncertainty out there. But I think this quarter, kind of showed the nimble approach that we've embedded in our operations, and we're making real-time adjustments as conditions shift. That's what I think we're focused on here because we know the conditions will change, and we just want to react to them very well. As we've discussed over time, in addition to managing the day-to-day challenges, we've undertaken an upgrade to our ERP system. We rebranded it, as I talked about, that improves the customer experience. We've executed the string of modernization projects we just touched on. We completed the large American Homestar transaction, and it's really exciting to see the entire organization rise to all of these kind of extra challenges, which, by the way, are the things that position us for better performance over the long term, while at the same time, the organization is really delivering the kind of results we've discussed today. So I really want to thank everyone for your interest and for joining us, and we look forward to keeping you updated.
Operator: Thank you. This concludes the conference. Thank you for your participation. You may now disconnect.